Marcelo de Noronha: Good morning, everyone. I am Marcelo speaking, straight from Bradesco's headquarters to present some details on the results for the third quarter of 2025. I think you've had the opportunity to read the results that were published last night. I think you had the opportunity to read it and just see a few things related to our results. So I'll start by saying that our recurring net income was BRL 6.2 billion this quarter. That means that it was up 2.3% year-on-year or was up 0.1 percentage points, posting 14.7%. So we had a very sound consistent results considering everything that we've been saying to you in the past 7 quarters. This was after our transformation plan. So basically, here, we are talking about profitability. So profitability maintains gradual growth and secure growth with operating consistency. All you have to do is look at all the lines. Revenues continue to grow in almost all lines NII and NII net of provisions, fee and commissions income, the insurance group and other related companies and the highlight goes to client NII. Delinquency rates remain under control. The restructured portfolio comes down, as you will see further on. And our secured portfolio rose quarter-on-quarter, reaching almost 60%. Operating expenses are in line with expectations and very much contained. Expenses are under control, and I will elaborate further on that topic. And we also anticipated our footprint adjustment and the numbers are higher than expected. And once again, we were able to deliver a sound performance of the insurance group with ROAE over 21%. This slide brings a bit more details. Our total revenue was BRL 30 billion, up by 13.1% year-on-year. Total net interest income almost nice -- I mean, almost 4% growth, fee income, almost 7% growth, and the insurance group grew 13% year-on-year. That shows continuous growth. So what do we attribute this growth to? I mean penetration in the customer base, I will revisit this slide further on because if we didn't have any penetration in our base for individuals and corporate with consistent improvement of customer experience in all business segments, we wouldn't be able to post constant growth in all of these revenue lines as you could see from this slide. And now moving on to our loan portfolio. Remember it was BRL 1.34 billion, again, consistent growth, 9.6% year-on-year. Now here without going into a lot of details, but further on, we will give you more specific details. So growth, both in individuals and corporate are more related to secured lines. You will also notice that the highlight is with micro and SMEs, so almost 25% growth year-on-year, and this is a very well managed portfolio with a lot of collateral because this is what will allow us to grow consistently over time. So next slide zooms into some specific credit lines because these are growth levers. So what can we tell you about this? I mean very sound commercial traction in all lines. If we didn't have a good customer base and penetration in that base, we wouldn't be able to grow this much. And the other element is the credit modeling in the business units that we created including portfolio management, which you can see in the down -- the bottom part of the slide with a lot of machine learning, improved models. We hired more than 200 people to our credit BU. We did upscaling. And what we are noticing is that there is a constant evolution in all segments, not only individuals and SMEs but also the retail bank -- I mean the wholesale bank with all of the balances that this requires. And now I would also like to highlight a few points. I mean, Bradesco's payroll loan ended the quarter with almost BRL 102 billion. Our share is approximately 14.2%. Among private banks, we are the largest one. We lost in this commercial disputes to public banks but our public portfolio 15.4% share. Social Security, first of all, was 15.4%, public, 14.3%; and private 7.5%. We were very conservative in terms of granting private loans. But then further on, we can elaborate on this. But we put together a more restrictive credit policy at the very beginning because we didn't want to run into many risks. So our policy is to work with the companies that we used to work in the past, and for the employees of these companies that were at least employed by the companies for a year. So in the first case, the level of delinquency for lack of payment was 12%. So this number is coming down. Operationally speaking, the market is oiling the wheel. So on average, I'm not referring to any specific organization. But on average, the delinquency level in this particular portfolio for these new cohorts, is around 11%. And ours, it's 3%. So we didn't grow. I mean that portfolio decreased on the private side year-on-year. And then year-to-date, as well. But then when we look at the third quarter, the Central Bank just released the numbers for this portfolio for September. And then I think you can look at that. So we are resuming growth on the private side, our policy is now a bit more open, but we are also growing on the public side. INSS with all of the changes that were done in the first half of the year went from a market production of BRL 7.5 billion to BRL 3.5 billion. And shortly, what is happening here since this was the largest portfolio among private banks, our monthly settlement is higher. If you look at the Central Bank numbers, you see that there was a drop in the INSS portfolio, and now we will start growing again, meaning that we accelerated public portfolio and the expectation is to grow next quarter and to grow next year consistently in all these lines. So security, public and private and look at our share. So we don't have anything to lose. We always have to gain more. So this is the outlook. And credit cards, if you look at the numbers, we grew substantially in the high income line. In terms of real estate, our share is about 20%. There are 3 or 4 banks whose market share is slightly higher. But in the last quarter, I mean this entire year, in general, we preserved margins. Now we see opportunities with also some modifications to accelerate real estate again. And rural portfolio, the portfolio of the bank loan grew 25% very collateralized or secured. SMEs, we are growing consistently quarter-on-quarter and year-on-year, almost 25% year-on-year and when we released the plan we anticipate that we would struggle to remain in that leadership position. I'm talking about companies that have revenue or banks that have revenues up to BRL 200 million a year, and we gained share with SMEs as well. This is just to say that we will continue to grow. We will continue to grow our loan portfolio. And as a reminder, last year, we had a write-off of the restructured portfolio of almost BRL 10 billion and large corporate growth. And large corporate, we didn't have that growth. And if everything were to remain stable, if there were no write-offs and if large corporate portfolio had not declined, our loan portfolio would have grown even more. So we are well positioned. We have the desired clients. We have demand, and we will continue to grow and we expect to gain market share in payroll loans. We will continue to grow real estate, SMEs because we gained market share. So we are -- we have a very good commercial traction and as a consequence our total NII grew almost 17% and the total NII net of provision grew 14.4% year-on-year. But when we look at client NII, we grew 19%. But when we talk about client NII net of provisions when you are balancing that portfolio with cost of risk, we grew 18% reaching almost BRL 10 billion. And the expectation is continue to grow. Now speaking about expenses with LLP and we just had a press conference with journalists and they asked about this. BRL 500 million of variation on the cost of credit quarter-on-quarter. There are 2 cases that justify this. First, there is a one-off case in our wholesale bank because we made provisions I mean, obviously, I cannot give out names. But if you look at the full publication and look at the provision phase, you will see that we have cost of credit for mass retail and wholesale. But when you look at wholesale banking, it's about BRL 200 million every quarter or BRL 300 million. So they're certainly regular and this one goes from BRL 200 to BRL 500 approximately. So it was a one-off case. However, we could also grant credit in the middle which is also part of the wholesale banking. But once you offer certain facilities, you also have to call provisions beforehand. So this is natural seasonality. But if we were to exclude that and also what was added to the John Deere Bank, this would be perfect. So the coverage level that we did for them put us on a -- still in a very comfortable position. This was a one-off case. And so we decided to make the necessary provisions and just move on because we want to continue to grow. And given that, that is flat, the average cost is 3.2% rather than 3.3%. Therefore, no worries here because our portfolio is very good. This slide, after long conversations with Cassiano, he's already here. And Andre likes to say, okay, this slide or this screen only comes with good news. I see a lot of good news here. But I would also like to comment on a particular issue because I got a question about it. If you look at this numbers down below, it goes from -- it goes down from 7.9% to 7.7% and Stage 1 growth and that is the portfolio with better quality. And this takes us to the restructured portfolio. There is a drop of almost BRL 10 billion year-on-year, which is quite significant because if you go back to the early months of 2024 above BRL 12 billion. And even the loan portfolio improved. Look at what happened, the number is dropping in terms of our total portfolio. And another positive number is the level of secured portfolio. Almost 60% was the number that we reached. Therefore, we are doing a lot of things to come up with this kind of performance. Delinquency is flat. There is a footnote here that says that -- I mean, over 90, there is a slight deviation, and this was also related to the John Deere Bank. But I don't see any issue here because they have other ways to finance their equipment in agribusiness companies. And this affects because we consolidate all the numbers. But if you look at the portfolio, it's absolutely under control, and this will certainly help us make things go forward and generate more revenue. Now fee and commission income, if we do not have commercial traction, if we cannot deliver a better experience to our customers and good and adequate relationship, we could never post a good fee income that grew almost 7% and the highlight comes from credit cards, almost 14%. And consortium management, we grew 22.1% year-on-year. But this product comes from customers at different levels, I mean, mostly corporate customers. Our rates are about 15% of the Selic rate. So it's very attractive. Asset management. I mean with these levels of growth, [indiscernible] is a highlight. It reached BRL 1 trillion of assets under management. And if you look on the right side, I will draw your attention to loan operations. I mean we are still traction. And I'll draw your attention to our investment banking. Investment banking shows a drop of 29.9% because the baseline of the previous quarter was a growth of 75%. Therefore, if we look at year-to-date this year, it is growing 24.1%. And this is not de buying work because this involves growth in new teams, engaged teams. Certainly, also this involves pipeline generation coming from all different segments of the banks like wholesale, middle market in addition to custody and brokerage services, which also posted growth year-on-year. Now operating expenses. Before coming to that, I would like to mention an adjustment to our footprint. We are moving even beyond what was anticipated for our footprint. This year, it was [ 1,269 points ]. And a year ago, in 12 months, 1,600 points. That means that we move forward, which is quite positive. And we are doing that, thanks to the talent of our team with a lot of intelligence backing it up, and this will be an ongoing trend. And when we talk about the guidance then for 2026, we will tell you what is our expectation for next year. Expenses are growing 9.6%. But also look that somebody asked me about that. Personnel expenses and admin expenses grew 5.5% year-on-year. If we were to eliminate the effect of variable -- higher variable compensation, our growth will be 2.5%. Our expenses are absolutely under control, and I would like to draw your attention to one item. Without EloPar and Cielo, it would be 8.5% rather than 9.6%. But let me give you some additional information. And this is also posted in our full publication. I think you can find that on Page 21, that's when we talk about operating expenses. But so looking at operating expenses, this is where we consolidate everything. Admin expenses year-to-date and year-on-year posted negative growth, meaning that there was a decrease. But if you had the chance -- have the chance to look every single line, you will see that some expenses grow and some other decrease like transportation decreases. But there is a line that refers to technology. That technology line, if it didn't have any quarterly variation, we would decrease admin expenses in the quarter. But also this quarter, absolute growth was BRL 140 million. I would like to draw your attention to one particular figure. So when we look at our balance sheet, we consolidate all of the associated companies. So when I take [ Elo and Alelo ], the growth of admin expenses is higher than 20%. So here, it goes up BRL 140 million. I can tell you that a good part of that comes from these 2 companies because they affect us due to the equivalent. So expenses here are pretty much under control. Now personnel expenses. Cielo had no impact in the quarter when it comes to admin expenses. But then when I move to personnel expenses, Cielo posted growth of about 7% -- slightly over 7% in terms of personnel expenses.  But if I am to exclude variable compensation and I look at fixed compensation, which appears in the first line of operating expenses, you will also notice that personnel expenses would fall to a number probably below 3% if we were not doing that equivalent with Cielo. Therefore, you have to take a snapshot and just think that we have consolidations that were also posted in the numbers. So I can certainly say to you that our expenses are very much under control. Certainly, there was a higher impact in this result. This is, in our view, a positive expense. And there is another factor here because you have to adjust all your provisions when you have the collective bargaining agreement, which was higher than 100%. So it's very hard to index these personnel expenses. So we see expenses absolutely under control going forward, right? So now the insurance group, as I had mentioned in the first slide, the net income is consistent. We continue to bring very good profitability when we look at year-to-date at 11.4% year-on-year, 6.5% growth with an ROE above 21%, as I mentioned with you. And I attract your attention to the operating results that guarantee the consistence of the insurance group's earnings with the total earnings growing at this level, year-on-year 13% operating results, 10.2%; financial 18.3%. So that's very consistent growth for the insurance group. And this is also not divine intervention. All of the customer segments and pretty much all lines have been growing, delivering positive variations year-on-year, but not only here in our customer segment, but also in all distribution channels that the insurance group has for the brokers, digital channels and I pointed at that now in our press conference. And the technical provisions reached a level of BRL 435 billion with growth of 10.5%. Now moving towards the end of the presentation. Our capital, even with the growth of the loan portfolio Common equity grows 30 bps to 11.4% and CET1 grows 0.4 percentage points, as you could see. Now our guidance, I talk a little bit about this literally. If you look at that, we should move in the year when we closed the quarter to fall within the guidance, but at the higher interval in all items, including expenses. So considering everything that I told you about. So look, the loan portfolio, for example, from 4% to 8%, we're growing at 9.6%. So if you go there to our earnings presentation of the fourth quarter of '24, you see that we grew the portfolio quite well, BRL 981 billion. If you look at the portfolio, that's BRL 1.034 billion today and you put BRL 16 billion of growth, the baseline takes us to BRL 7.1 billion. So I'd say that we will grow between 7% and 8%, a little bit more maybe but with consistent growth in here. Also NII net of provisions in the upper levels of the interval and so on for each one of the items. All of them laying or falling in the higher end of our guidance. So we'll deliver the guidance at the end of this quarter. Now quick overview of our transformation process. We will have a more detailed view when we close the year. But we have been evolving very well in all of the aspects of individuals in each one of the segments. Bradesco Principal closed September with 41 offices and expanding still growing, and I'll talk more about that. I talked about the footprint exceeding expectations. We launched global solutions and enable the platform to 100% of wholesale clients for our cash management. We have more than 11,000 people working with enterprise agility in our organization and also advancing quite quickly. And with everything we've been doing in IT and the intensive use of GenAI, our productivity in terms of development grew this year 109%. Looking forward, for the next quarter into the next year as well. What we have here, I'll point 4 topics without getting into the details of each one of the items of our Mandala. But first, Principal. We should close the year with 300,000 clients, approximately 62 offices in almost 40 cities in Brazil. And Prime has been evolving from its value proposition. We will already have 3 million customers, maybe slightly more than that. We have more than 14 million customers that are fully digital who no longer use physical point of service. They're also being supported by our Bradesco Expresso which grew and has more than 39,000 bank correspondents throughout Brazil in every city of Brazil and more than 5,600 municipalities in Brazil. In SMEs, we saw traction that we have. Last quarter, I talked about the new app. We've expanded the app for small and micro companies. They can hire loans from Pronampe e Procredit directly on the app. It's a new very streamlined experience. And obviously, all of our segmentation process has been proving effective with growing penetration in this segment. And I would also like to point here at the bottom about our culture. So Bradesco or IM Bradesco. Last year, we showed that we had the survey with 74% of participants with high engagement levels. This year, we had 84% of all of our employees being engaged and answering a survey showing the evolution that we have in this aspect as well as all the other initiatives that we have in all of these different areas. Two pieces of information to conclude my presentation and to move on to the Q&A. I've been talking a lot about Gen AI. And now I said, well, I'm not going to talk about this anymore. I keep talking about this in all firms that I go to and here on the earnings presentation. So let's get BIA to talk to you. And I had a surprise when they brought me the video because they had an avatar that is the last time you're going to see this, okay? Next quarter, I will bring a new one that will be a lot nicer than the one that's going to talk to you right now. It's about a minute long. It's a very brief video. So let's have a look at it, and I'll come back for the conclusion. So please.
BIA: Digital transformation through enterprise agility and the massive leverage of Gen AI is generating impressive results. Look at this. I can highlight 4 fronts of progress to you. First is the increase in productivity, hyperpersonalization, risk management and customer engagement and journey. We've already reached a productivity increase of 109% this year, and we built a new income model with a drastic reduction of 95% in the time to create an expressive increase in accuracy. At the same time, we increased security with sophisticated biometrics, and we offer hyper-personalized experience. And customer service has full engagement with 90% retention rate on BIA's chat and innovations such as fixed by voice. Here, Bradesco Gen AI goes beyond technology. It is a part of our transformation at the service of our customers and our business. So that's it. Thank you very much. Now it's back to you on the studio real life Marcelo.
Marcelo de Noronha: That's a tough one, right? The next one will not be this avatar. We're going to have another one. So I'll head to my conclusions here, restating what I said at the beginning of the presentation about our commitment to increase profitability. We are getting close to the return on cost of equity. But step by step, as we said since the beginning of our plan, revenues is the main driver of profitability, increased expenses under control, credit portfolio with a balanced growth, always prioritizing risk-adjusted return. Risk appetite that I said at the end of last year remains moderate. But the delinquency rates, portfolios, vintages are completely under control. So we have a lot of traction in the brand bank, change the bank, and we're confident that we will have a good quarter at the end of this year, and we will also have good quarters next year, 2026. So now I invite you for the Q&A with my colleagues, Cassiano Scarpelli, CFO; and our colleague, Andre Carvalho, IR Director. So Andre, over to you. Thank you.
Andre Carvalho: Thank you, Marcelo, Cassiano. It's a pleasure to be here with you. Good morning, everyone. I'd like to remind you that our CEO of the insurance group, Ivan Gontijo is participating remotely. [Operator Instructions] First question Daniel Vaz. Daniel, please go ahead.
Daniel Vaz: Thank you, Andre. Good morning, Noronha, Cassiano, everyone so I'd like to talk a little bit about cost and this overview of the footprint that you accelerated a lot over the last 2 years -- so closing a lot more service points that were expected, both in 2024 and '25. I think you accelerated even beyond those targets. So my doubt is about 2026.. hould we expect the same pace of closing? Or is the trend going to change focus to reap operating efficiency to move towards that goal of 40%, down from 48% when you were announcing the strategic plan? And then a second question still on costs. You mentioned Elo and Alelo growing 20% year-on-year, even more so in costs. So we can imagine that this is the level that will be maintained going forward. Is there any one-off situation that would cause you to accelerate cost in these 2 companies?
Marcelo de Noronha: So I'll start with your second question. Thank you, Daniel. What I have to say is they do not grow in personnel expenses. So it was on the other way around. I only mentioned that to say we have different dynamics. But they have been growing in terms of volume, revenue, earnings, and they have been investing. So naturally, when you increase customer base, you also increase cost of processing and this type of cost, it's natural to see an increase. The expectation is that it will grow indefinitely at a level of 20%. I don't see that. But they are doing well. They're balanced. They're bringing returns. But when you show the transformation plan, what I mentioned was that we have a plan to reach that level of efficiency that's very important, and we're pursuing that and having a very strong control of expenses with a fine-tuned execution and a lot of discipline, Daniel. But now if I tell you that I have an opportunity to spend BRL 1 billion to make BRL 2 billion, we will not flinch. We'll not hesitate to move forward and make adjustments because life is dynamic. So the opportunities came up, and that's how we do it. That's not what we expect. We expect to have very well-controlled expenses. But once you consolidate, you may look and see, but shouldn't it be going down or you may see a deviation here and there. But as for the footprint, we talk about 1.6 if we review in the last 12 months, the expectation going forward, if you look at 12 months, would be to a smaller adjustment, Daniel. We're closing this number according to our transformation plan, but it should be below 1,000. That's the expectation for the next year
Andre Carvalho: So just to add to what Marcelo said, once we anticipated the footprint adjustment. Of course, we have more provisions for labor, and that shows up in our OpEx line. When we actually reduce the footprint adjustment, we should see a slowdown of the labor provisions, and that should be clear from now on. I would also like to add to Daniel, we can't have to remember investments that's there for the depreciation, strong investments we've been making naturally in technology for the bank overall as a whole and depreciation on the side. So there's a little bit of that. In theory, they are offenders, but actually, they are what boosts the new level of efficiency at the bank. Of course, also competitiveness, right, Cassiano, what we're saying, and we have a more conservative guidance at the end of last year, but we will make it a point to make any investments required in terms of competitiveness. So thank you, Daniel.
Operator: Moving on to the next question. Pedro Leduc Itau BBA.
Pedro Leduc: The first, I think you've already answered actually in this high level of labor provisions that we see this year is like building inventory that may be normalized next year. So I think this is already clear. That was a big offender of the results. But the other question would be in the credit quality. We see a slight increase in over 90 NPL for individuals. So I'd like to get some explanation about this a little bit, maybe the John Deere side, if that's been done or if there's more to come on provisions and also SME NPL, that's quite curious. It's been going down. So congratulations, but I would also like to understand this a little bit more, maybe the relevance of government lines going up. If you can give us an order of magnitude, if it's 10%, 20%, 30% of the SME portfolios, how is the performance of these government lines as they come out of the grace period and if there's any major concentration that we should look at. And at the end, what I'm trying to understand is if this increase in the cost of risk that we saw in this quarter is a trend going forward or not?
Marcelo de Noronha: Thank you, Pedro. Good questions. So thank you. It's a pleasure to see you. So first, so individuals, delinquency, it was driven by John Deere. So we don't see any other issues. Our portfolio is very safe and good vintages, and you will see a good quarter on the fourth quarter in this aspect. Now for the wholesale bank, that's the case that we had. So going back actually to John Deere that you asked. Look, the capillarity is a lot greater and have smaller or larger funding depending on the size of the deal and the agribusiness side. So it's natural. It's not breaking with any history of what we've seen, and there's recovery that comes over time. That's what we saw there. So that affected a little bit because of the consolidation, but it doesn't keep us up at night, and it doesn't discourage us. With the John Deere business and our growth in agribusiness, both in the wholesale bank and directly at the retail companies and individuals as well. We are excited with this industry. Of course, we're very cautious. We've been working with collateral always here in this type of line. We do not have any deviation in our portfolio for rural credit. About the wholesale bank now, that provision that I mentioned, there's irregularity there in a specific case, one-off that was a little bit outside of the market rationale because the market is there. So we decided to provision for that with a good coverage ratio now. I don't see any other issues here. So I see the cost of risk being very well balanced. If you were to remove that case of the wholesale bank and the deviation that we had from John Deere, it would have been flat, Leduc, it would be flat. So the order of magnitude for you about this case, I can't give you the specific number, but it's around BRL 200 million more or less, BRL 200 million that we had. So we are very comfortable with our portfolio. As for SMEs, why did it go down? Obviously, we have numerator denominator here that we are warming up well, but we're growing well with collateral. So we chose modalities in FGI/FGO. Remember that I said we had a share of around 18%. We were #2 last year. At the closing, I said that at the beginning of this year. And I said that this year, we would be a leader and with more than 20% market share, and that was what led us to grow with quality because the models take into consideration those intervals so that there may be occasionally a break with those thresholds that are accepted by FGI/FGO. So we are doing very well, delivering very good quality, creating a huge culture of cost of risk in our company segments and our business of the companies of up to BRL 50 million a year in revenue. So the portfolio is under control with no hiccups. Of course, wholesale bank, there may be here and there something different. But it is worth noting or remembering what I said in the presentation, is corporate. That's the middle segment that starts at BRL 50 million and goes geographically. It's a larger extension up to BRL 1 billion. And there, depending on the expected loss or the modality we operate, you have a little bit more provision upfront because of the expected loss. It doesn't mean that delinquency didn't see the movement of Stage 3. No, because it's there on Stage 1, it's good, but you have that expected loss for that type of target you're working on. But always with that risk-adjusted returns, and that goes for everything for SMEs, for the wholesale bank for vehicles and everything for all of them.
Operator: Next question from Mario Pierry with Bank of America. The floor is yours.
Mario Pierry: Congrats on the results. I have 2 questions as well. My first question, is mainly a provocation. You're saying that credit cohorts are performing well. NPL is under control. But at the same time, we are expecting a decrease in credit. I would just like to understand why you were so cautious about credit because if you anticipate that things are performing well, why are you making that move? The second question has to do with your market margin and the increase in the Selic rate. How do you expect NII performing once you expect Selic rates to go down?
Marcelo de Noronha: I would like -- I'll ask Cassiano to start answering your question, and then I will talk about that acceleration.
Cassiano Scarpelli: Good morning, Okay. Market NII, we did some very important work. I think it's the first time we acknowledge this year an important work done from our treasury and the balance. I think we still maintain that BRL 1 billion of soft margin. And I think we refer to that in previous occasions. So we do acknowledge that work, and we understand that this will be globalized until the end of the year, making up that a total of BRL 1 billion. Well, certainly, with a lower rate next year, we should see an improvement. And so right now, we are looking at the budget, and we may bring you some news next year. But certainly, this is a good possibility of an improvement in the market NII for next year. Well, thank you, Mario, for your question and your provocation.
Andre Carvalho: [Interpreted] We should have a positive outlook in 2026. But starting in the second quarter, I mean, going forward after the second quarter of 2026 in terms of ALM, but as Cassiano said, the other lines are performing well. To your point about deceleration, I would say that it has changed. If you look at the Central Bank's relief, I think it was released yesterday and we were looking at it, I talked about the private payroll loan. Private payroll loans, there was a drop year-to-date. We also experienced a decrease year-over-year. Now we are -- it's beginning to go out and we -- it's picking up. And we will just follow the market growth. So that doesn't mean that we are decelerating in the country. And in the other portfolios, public and INSS. INSS portfolio is still dropping, but it's picking up again. And the public portfolio, traction is good. We are growing. We will gain market share -- the other one, we are doing well with SMEs. We are not decelerating, but of course, that you have to deliver the right line to the right clients. The same thing the market dynamics, I mean, I'm referring to Central Bank data. I'm not releasing any privileged information. But if you look at orders, in a year, we would grow slightly below market growth. But in the quarter, we surpassed the market growth. So that means that we have a good risk appetite. I may even be, let's say -- let's say I am bringing credit with a little bit more risk. But the important thing is NII net of provision. So you have risk-adjusted return that is adequate perfect. Therefore, I can tell you that we will be fighting for this market, and we will continue to grow. I am not pessimistic. We are cautious because we don't want to venture into like lines that have higher risk, no we don't want to do. So I want good clients, with good rating, control expected losses in segments that eventually may bring this slightly lower margin, but at the end, it gives us sustainable assets. That's why we have a sound portfolio. I mean the restructured portfolio is good. So your provocation -- to your provocation, my answer is yes. We are cautious, but we are stepping on the accelerator, whatever we see opportunities for penetration. I mean we grew 25%. I mean we grew more than the financial system. So our appetite remains sound. If we did not have, I mean, any drop in the large corporate portfolio, we would have grown more than 10% year-on-year.
Operator: [Interpreted] Next question comes from Thiago Batista with UBS.
Thiago Bovolenta Batista: [Interpreted] I have 2 questions. My first question, going back to the strategic plan. I mean, you released that in 2024, that has been almost 1.5 years ago. And back then, you talked about 3 or 4 KPIs. One was something about 2 and 2.5 efficiency over 200 bps. And then you talked about cost of equity. So some time has passed. But can you tell me that considering your initial diagnostics, how do you see the market? More challenging, less challenging cost of capital, cost of equity, are you going to deliver numbers very close to what was anticipated? I mean cost of capital and ROE, I think you addressed that efficiency maybe you didn't get there yet. So what is more challenging and what is more comfortable related to your strategic plan. When you talked about real estate, looking at Bradesco today, the bank has about BRL 112 billion in mortgage, BRL 120 billion of savings and LCI. So do you see any possibility of issuing more LCI after the transition? So how do you see this change in funding of real estate mortgage?
Marcelo de Noronha: [Interpreted] I will start with your second question about mortgage loan. I mean our portfolio has over BRL 140 billion once you also add the corporate side. But the change was positive. It's an opportunity because it makes sense. It makes sense to reduce the savings, the reserve requirement of the savings account. We had preserved margin, as I mentioned during my presentation. That's why we stepped on the brakes a little bit. But on the other hand, we have the demand capacity to resume growth, and we will resume growth. This will be more noticeable by the end of the year because we have enough capacity to grow more. I also think this is positive for the system because there are 4 incumbent banks that have higher protagonist, but when we look at the regulation, it comes with some complexities. I know that you're familiar with it. But starting in 2027, what we have to look at in terms of the release of the reserve requirement in this new regulation is that there might be a decoupling in the long run because you remove that 15% of free resource. So in that vote, they say that every year, this will be reviewed. So certainly, there might be some degree of flexibility that will allow us to make adjustments. Otherwise, there will be no appetite or maybe the incentives will be -- will go in the opposite direction. We have an appetite to do it. And this makes more loyal customers because they are more profitable, of course, we have a lot to do. The higher interest rates also challenges mortgage loans. So that's the first thing. Second thing, I think that here in terms of challenges and then I want Cassiano and Andre to add to my comments. First of all, you said, are we -- we are getting there, right, in terms of cost of capital. That was a challenge. And when we presented the plan on February 8, 2024, we were talking about 13% to 13.5% cost of capital. I think if I'm not mistaken, that was the number, meaning we would have gone beyond that. That was a challenge. But it's -- we are getting very close to it, so it will come. I'm not promising anything, but it is right ahead of us. This is the first thing. The second thing, growing customer base. We cleaned up inactive savings account holders because it makes more sense to include nonactive customers, and we don't want to bring nonperforming clients. Therefore, we are working and paying attention to that. We are looking at the profile of clients, clients that are more digital and so on. So there are challenges. And but this applies to the entire country when it comes to the massive clients, which are struggling to make ends meet. But our growth level at Bradesco principal, I didn't even refer to NPS to you. But probably in our next earnings release presentation, we will talk about the growth of the individuals portfolio and bring some more information. We are seeing a lot of good things happening with our principal segment, [ Prime ], SMEs, wholesale banking, I think obviously, there is also structural growth because the GDP is not growing and unemployment is low. So this interest rate level squeezes small and midsized companies, and that's why we try to be -- to operate on secured lines. Maybe going forward, we will see more opportunities to deliver some KPIs that we will certainly bring it to you when the right time comes. Sorry Thiago, I think I called you [ Eugene ].
Cassiano Scarpelli: [Interpreted] Thiago, I would add 2 things. One thing that probably looked like ancillary, but we have the engagement of our team. I am Bradesco. This is part of our culture. Marcelo showed that 84% of our people answered the survey. And this is important because they are very much engaged in the bank's transformation. This at first seem challenging, but I think this was one of our positive surprises. Obviously, the macro environment was based on that strategic plan. That was a totally different plan. We didn't have high interest rates. The GDP was growing, the cost of capital was good. But despite all of that, we continue to invest. And an important part of that, that we have to mention in addition to people is technology. We invested in technology, reskilling, the different tribes, the concept of restructuring our infrastructure, the upskilling of the team as a whole and the intensive use of Gen AI that led to greater productivity together with other like footprint in this new growth levels. Of course, this also involves higher efficiency, 800 bps. We would get closer to 50, 52. So the plan -- it's a 4-year plan. We are heading towards the year 2. So there are lots of challenges, but we are on the right track. And in our next earnings release, we will talk more about the share. We are growing in the areas where we trust we can increase penetration. SME is a clear example. And you might recall that I said that we wouldn't let go of our leadership position, and we are doing so. And we are delivering better results on and on. But we have a challenge to increase efficiency, as Cassiano said. And capital requirement is something that is a constant here because year-end of 2026, there will be new requirements related to operating risk and other elements. I think the number is 30 additional bps for required capital. So capital need is something that is very peculiar to our industry.
Operator: [Interpreted] Next question Yuri Fernandes JPMorgan.
Yuri Fernandes: [Interpreted] Thank you Andre. Thank you, Andre. Thiago always asks good questions.
Marcelo de Noronha: [Interpreted] We will call you Thiago.
Yuri Fernandes: [Interpreted] No, you call me Thiago UBS.
Marcelo de Noronha: [Interpreted] You should have a sign. We saw a sign that you were on the line, and then I got confused I apologize. Thiago again.
Yuri Fernandes: [Interpreted] I would like to talk about client NII. It's one of the good surprises of the year, improvement in funding or something in spread, we've been seeing your line very well with this 9% that you presented now. So I'd like to take your view of NIM. So do you believe this 9% NIM is going to go up? Or is it more going to remain stable? If it's going to improve, what do you think will make your NIM improve? That's the second question, inspired by Thiago. I know it's hard to talk about medium- to long-term ROE, but I think that the market believes that Bradesco will start generating returns above cost of equity. And we see there's some expectation that this is going to improve, as Cassiano said, this is a reality in the quarter, we understand, as you said, that there have been corporate cases that played kind of against it, but ROE only improved 10 bps quarter-on-quarter, and that's kind of timid. But when we look at the detail, the insurance companies who brought most of the improvement. The bank's ROE goes down quarter-on-quarter. So again, going back to Thiago's question, what could we expect in terms of the agility of this ROE improvement? It's clear that it will continue to grow, but I'd like to understand from you, if you can, if you're comfortable bringing more medium or very long-term numbers to understand how you see the improvement in profitability for the coming quarters.
Marcelo de Noronha: [Interpreted] Andre, you can begin and I'll conclude.
Andre Carvalho: [Interpreted] So I'll start with the ROE question. Actually, what we see this year is that the revenues have been surprising every quarter with the commercial traction, proximity to customers. And that has been allowing us not only to maintain the decision of the beginning of the year of preserving investments, but also to accelerate the footprint adjustment and strengthen the balance sheet. We saw in the third quarter, the increase not only on LLP, but also the labor provisions with a clear effort to strengthen the balance sheet on one-off measures. And we were able to do that because the revenues were coming in very strongly. So here, we delivered the step-by-step the improvement in profitability in the quarter, but we decided to advance and we are having a very accelerated transformation plan. So I think that gives us more confident on the medium and long term that we'll be able to go further in this process. So the idea here for ROE improvement, we've been saying today, it basically depends on revenue basically. And from now on, it's going to be the efficiency ratio that's going to be our focus, a combination of revenue moving now and expenses still very much under control that leads the efficiency ratio to drop 10 percentage points in the next 3 years, '26, '27 and '28. So I think that's the main ROE driver that's still not priced, but it's one of the very important aspects for us to highlight in this discussion. Now on NIM, our NIM got to 9% now in September. We were promising this 9% for December. So we were able to deliver slightly early. And we are still expecting 9% in December, some stability in the fourth quarter. That's the base scenario. And we have some variables that help us going forward in this NIM. For example, the cost of funding, the funding margin are still improving a little bit, not only due to the -- not so much due to the quick wins we saw in '25, but to cash management measures of funding and things that start to mature with time. Marcelo pointed at Global Solutions. We have other measures here in cash that help -- other measures that help NIM. For example, the restructured portfolio going down. Once we reduce the restructured portfolio, in particular, the problem assets in our loan portfolio, we increased the share that yield interest, and that also improves our NIM. And as Marcelo said, whenever we have the opportunity with a good RER, we will go after it. We will accelerate, and that ends up helping us in our profitability, and then it would be net NIM.
Marcelo de Noronha: [Interpreted] Yuri, I'll be bold here. I think Andre gave you a good overview about this spread. So I'll dare in telling you is that NII is tractioned. NIM for this quarter, I have no expectation of variations. Well, now next year, depending on our mix, we are still discussing in the light of the plan and the budget and how tractioned we are, we may even surprise you. I would not rule it out. I'm not making any promises, but I would not rule it out. And when you talk about the ROE in the medium to the long term, of course, here, we're seeking to deliver ROE and the cost of equity and then take another step. But when we had the diagnosis, what did we see? Brazil, depending on its positioning, we are an organization just like others, other conglomerates here with about 80,000 employees, capillarity with a specific model of a universal bank, there are others with a different business model. So here in Brazil, we have a market that offers long-term ROE between 15% to 20%, depending on your position. And we see that in the long-term horizon, depending on the position of each organization. It's not only, Bradesco, but the market. And I think that we have such a large market that there's plenty of room for you to have a set of organizations as we always had in Brazil, dividing a share in different customer and business segments. Thank you Yuri for your questions.
Operator: [Interpreted] Next question from Henrique Navarro, Santander.
Henrique Navarro: [Interpreted] Congratulation on the earnings. 2 questions. The first about the corporate specific cases. We know that due to the secrecy and the protection, we cannot comment. But if you can give us some color within whatever is possible, this BRL 354 million, is it 1, 2, 3 specific cases? The largest one we imagine. How much does it represent of this whole? And was it 100% provisioned? The idea is to understand what would have been a clean balance sheet, so to speak, even though losing is part of the credit business, but what would have been a clean balance sheet? And also to understand if there's anything remaining in terms of provisioning for those specific corporate cases for the fourth quarter? That's my first question. The second, on the guidance, you're running above the top of the guidance in many items, very good. But why not review it now in the third quarter? Because that would give us some light to have a better idea of the number for '25 and imagine what we'll see in '26, especially in insurance that you're running well above the top of the guidance.
Marcelo de Noronha: [Interpreted] Thank you, Navarro. It's a pleasure to see you. About that specific case that we have in corporate, we provisioned significantly. We have no expectation of additional provisioning for this case going forward for the next quarter, that's the answer I have to you. And that case is what gets a bigger deviation in our situation. There are smaller cases, specific cases as well as the growth of the corporate portfolio that, as I said, the middle market in here. So we do not expect to have any other provisions for that. And in terms of the guidance review, since we're seeing that we will fall within the guidance, the guidance is an interval. We see ourselves in the upper band of the guidance, but pretty much for all of those items. I mentioned loan portfolio between 7% and 8%, maybe slightly closer to 7%, but all of the others within the upper band of the upper range of the guidance. That's why we decided not to review it because we will soon start to talk about the guidance for 2026. I don't know if you want to add.
Andre Carvalho: [Interpreted] No, that's exactly it. That's perfect.
Operator: [Interpreted] Next question, Gustavo Schroden from Citi.
Gustavo Schroden: [Interpreted] Congratulations for the results since the presentation of the strategic plan. I have 2 questions. And the first question is related to capital and tax credit. Maybe the question should be addressed to Cassiano. I mean there was an evolution of 11.4%. There is also the issue of profits. But looking at the explanatory notes, I think that it seemed to me that there were some changes in the tax credits. I would just like to understand if part of this capital improvement comes from the reversal of deferred or DTA of deferred tax credit. And what is the bank's policy in terms of these assets, whether you have a plan to accelerate this going forward? The second question for Marcelo. It's been a while since we talked about Cielo -- and Marcelo talked about expenses of Elopar and Cielo. I remember that when you were presenting the strategic plan, Cielo and especially SMEs also, that was a very important part of the plan. So could you give us an update about Cielo's strategic plan, particularly after the capital reorganization, I mean, restructuring. So can you tell us something about Cielo's strategic position?
Cassiano Scarpelli: [Interpreted] Nice to see you. Well, you're very familiar with our policy and as part of our assumption to make better allocation of capital in our company. So this is a relevant aspect related to this change in the additional capital, also including tax losses that you saw in that explanatory note. Even though our tax credit increased, there was an improvement in some lines. We reduced the tax losses and the tax credit from LLP had a traditional increase. So this mix of things is what led to this positive effect in the capital numbers as a whole. Certainly, we are working towards further reductions. We are very -- we know that there should be differences in the tax credit because of everything we are doing. And I think this is part of the virtuous cycle going forward. In this particular case of this quarter, it has to do with this change between tax credit from LLP, DTAs, and this should have a lower effect once you draw an average. That's why we had a specific difference.
Andre Carvalho: [Interpreted] Adding to the answer, I would like to say that our common equity that was 18.4% come December, I think it should be around the same level. So by the end of next year, should be closer to 11%, which is where we would like to keep this optimization process at.
Marcelo de Noronha: [Interpreted] So Gustavo, speaking about Cielo, well, we will refer to the balance next quarter, as I said before, about individuals and share. But there is a whole set of initiatives in Cielo to gain competitiveness. And we've been working with specific teams in both banks and together with Banco do Brasil, both on the wholesale side and SMEs, meaning that we have teams working together with the Cielo teams. There are several initiatives that contemplates customer experience in the bank's channel. There was a significant improvement in logistics when it comes to delivering equipment and also adding new solutions to companies. We've also noticed the expansion of newcomers, which is much more fluid now. And this has to do with our commercial teams and Cielo's teams. I will give you more information about it later on in other events, there is a time line because this week, I was just reading or revisiting our time line because there is a plan that we monitor very frequently. We look at our growth rates. And we will also tell you about other initiatives of the bank next time we meet. But we continue to work on our transformation plan. And now we are very much connected more so than in other occasions. We are working together. And not only that, we are delivering renewed experience to customers with a higher competitive experience, everything integrated in the SME app.
Operator: [Interpreted] Next question from Bernardo Guttmann with XP.
Bernardo Guttmann: [Interpreted] Congrats on the bank's results. My question is about private payroll loan and your appetite. You said that you were very conservative on the onset of private NII, but now you're resuming growth and delinquency or NPL is way below the market. So what allowed you to do that? Can we say that the bank already has a scalable risk model for this new type of payroll loan, now private?
Marcelo de Noronha: [Interpreted] The answer is yes. Our process is working like clockwork. So we have good risk appetite, mainly due to the approval. So you go to a more open market and everything has to be in place because you approve credit for companies and for employees at that company. So you should be certain that everything will be approved. And the appetite has increased. We changed policies. We are now increasing the pace. As I said before, we were declining year-to-date and year-on-year. Now the numbers are increasing. And certainly, this quarter, there will be an acceleration, particularly in terms of private payroll loans. And this is a great opportunity for those who are so important in this market, but we will accelerate both INSS and public portfolios. So in terms of payroll loan, we will show good growth going forward. And it is yet to be seen what will -- what impact this will have in the budget. But everything we're doing, we are doing with modeling and intelligence. And this is crucial if we want to succeed in this business, but we were not very certain in terms of the processes in the past. There are some deliveries like data privy. There are some deliveries that were postponed and some others will only be delivered in 2026. But that's not a problem because this doesn't change our appetite. On the contrary, things will be better going forward. But we see major growth opportunities we will grow, and we will gain share. I'm talking about everything, not only I'm talking about INSS, public and private portfolios.
Operator: [Interpreted] Next question from Renato Meloni, Autonomous.
Renato Meloni: [Interpreted] I have 2 questions. First, about the individuals mass retail, you've been growing a lot in the high income as a right strategy for this year. But I'd like to understand whether growing again and gaining relevance in the mass retail will be a relevant part of the strategy looking for the coming years. And what indicators are you expecting to be comfortable again to take risk and grow on that segment? And the second question, just a follow-up about what you said about SMEs. I'd like to understand if you see any limit being reached in the lines that were authorized with government and whether you think you could continue to grow at the same pace that you presented in the last quarters.
Marcelo de Noronha: [Interpreted] So about the individuals mass retail, we have more than 14 million customers that are mostly or almost fully digital. And what are the challenges here? It is to have a very well adjusted models because the cost of risk here is a lot higher, Renato. We know that. And we are investing, testing and making things happen. But we've been working with this level of engagement in the customers' life cycle, doing that NBO, the next best offer in the different segments. That goes to high income. It's valid for both high income and this more digital segment as well. And we have been testing the channels with different alternatives and different value propositions within our physical world as well because you have clusters that would be a lot more connected to the segment due to the level of profitability they have to offer, but they still have the need for physical in-person service. And we've been testing all of that with our Bradesco Expresso. So when you talk about a country with the size of Brazil, it's not trivial to think that everyone will adhere to fully digital. We have a lot of social levels and different profiles, different personas in this group of people. And we've been working with all of them to be able to have the best cost to serve and the ability to continue growing with this public. But now with the proper adequate safety because here, it's smaller income levels and there's a certain degree of frailty that's natural, so to be able to provide certain lines of credit. But we've been learning again a few lessons that we knew in the past and that we brought to a model with a lot more intelligence behind it. So everything about machine learning, Gen AI, all of that to support what is managed and what is not management that is mostly digital is being used here with a lot of talent by our teams. So we will continue to evolve. And at the right time, we will bring more elements about the mass retail segment. For SMEs, there may be a limitation of lines that will be determined for next year. I think we've been having a good year. I said that in another question that we had, both with FGI and FGO, we are tractioned. We are doing well, but there may be more limitations of the lines. But this is -- we have to wait naturally for each one of these programs to be convinced. I can only answer -- I mean, I cannot tell you if it will be or won't be yet. Thank you, Renato, for your questions.
Operator: The next question comes from Carlos Gomez-Lopez from HSBC.
Carlos Gomez-Lopez: Hello, Andre. So I had like everybody else 2 questions. The first one is about funding that we haven't talked about. And in particular, we saw a big decline in demand deposits and saving deposits. Is that, in your opinion, related to the reduction in footprint? And what do you think your current market share is in those 2 lines in demand deposits and in saving deposits? And second, on insurance, again, you continue to deliver very, very good results. And I'm going to ask once more about the sustainability of the results, specifically in health insurance, where your earnings are now twice the level that you had last year.
Marcelo de Noronha: [interpreted] Thank you, Carlos. Andre you can start on subject of deposits right.
Andre Carvalho: [interpreted] So I'll start talking about the deposits we've been acting here very significantly this year to optimize the customers' resources. And one of the measures was to reduce our LCR that was in the past at around 190%. We brought it down to 150%. The minimum regulatory requirement is 100%. So we still have a lot of room to move, but we let go of expensive resources, especially in wholesale. And that does lead to a reduction of funding, but that was a decision -- a strategic decision we made to continue to reduce our cost of funding to improve the funding margin and to optimize the customers' resources. Looking forward, I believe we have these cash management initiatives that translate into 2 important platforms. One, for financial solutions for SMEs and another for wholesale companies that we call Global Solutions. And both of them are measures that can greatly improve the payment experience. They can also improve our performance in funding and become a structuring favorable measure for our funding margin that starts to have an impact in 2026, and this impact will probably increase in the following years. So funding starting next year, counting on the cash management measures to help us.
Cassiano Scarpelli: [Interpreted] I would just like to add a little bit, if I may, Carlos, thank you for your question, about the footprint, whether it has a relation with maybe the impact on demand deposits and savings, we believe it does not because most of customers are mostly digital. 14 million are already working remotely, and we see that we continue to work and look at principality both on demand deposits and savings, there was no drop in terms of the footprint reduction, quite the opposite. We see more opportunities working on the NBO for those customers to bring the best offer for the low-, medium- and high-income customers. So somehow, the footprint has this relationship to bring a reduction in those points that you mentioned Carlos.
Marcelo de Noronha: [Interpreted] And there's another question about insurance, right? Ivan is with us, I believe, is online. Ivan, do you want to answer that part of the question that he asked about the sustainability of those results of the insurance group.
Ivan Gontijo: [Interpreted] Thank you Marcelo. So in terms of the sustainability of the results of the insurance group, we see looking retrospectively, we will find in the last 3 quarters consistently and in a linear way, we see growth not only in our operations, but also in our results. So there's no oscillation, no variation even up or down. And that makes us comfortable to look prospectively also under a very positive light. On the last quarter, we had growth in health of 9%. In this last quarter, we also saw growth in life insurance close to 10%. And the pension plans with all of its challenges also grow, especially VGBL and portability of VGBL as well as the products that we created, adding the risk or the premium, and that has been making a lot of difference for our growth. Now in the business line and real estate and equipment, we grew close to 15%. And that makes us confident as well to look forward and say that we should continue or maintain the same level of growth, reaching the top of the guidance that we committed to at the beginning of the year. Now in terms of the health insurance, the underwriting discipline, checking the improvement of the clients, we increased about 75,000 net lives this quarter. And in October, we already see the same growth level and the same base that we've been addressing in the recent periods. Regional products developed specifically for the region from the health company also gives us comfort in terms of the growth, considering that our product is a product that all Brazilians want to have, both for themselves and their families. The growth was mostly in operational lines. And obviously, the posture, the stance adopted to fight abuse or fraud makes us confident for this claims ratio that the Bradesco Saúde and the health care insurance group has reached this quarter. These are my comments. Thank you, Carlos, for your question.
Marcelo de Noronha: [Interpreted] Thank you, Ivan. And that's well noted. Bradesco Saúde, it's a premium insurance.
Operator: [Interpreted] Next question from Nishio with Genial.
Eduardo Nishio: [Interpreted] My question is about the credit cycle, more focus on SMEs and individuals. I would like to hear your comments on these 2 lines. We saw very good performance of SME, both in terms of NPL and growth, like one helps the other. That's the effect. So the question is whether you still see room for further improvement of SME delinquency. And also looking on the individual segment, looking at your peers, despite the improvement, your NPL is still higher when compared to your peers. But the question is whether you see room for improvement? And at what phase of this cleaning up you find yourselves and whether you think you're already going towards -- heading towards growth. I mean the cycle of '21 impacted both SMEs and individuals. So did you clean up the portfolio? Are you ready to grow more? Or you still feel that there is more room for improved delinquency further?
Andre Carvalho: [Interpreted] Thank you, Nishio. So first of all, over night, it was 4.1% in September. The base scenario is 4.1% in December. Slight deviations, I mean, about these numbers is natural, but the basic scenario shows stability of our NPL in aggregate terms. SME, Marcelo, is insisting on that point. First of all, we were very cautious to concentrate our business in the secured portfolio, discount of receivables, rural credit with guarantees or collateral. So the new cohorts are showing good performance. And this is what is bringing NPL down. It could fall a little bit more, but the base scenario is for a certain stability given the economic stability that we anticipate going forward. So I think this is an important aspect. When it comes to restructured portfolio, as Marcelo indicated, in 12 months, the troublesome part of it was down by almost BRL 12 billion. And that was an important cleanup, but it's still possible to proceed with the derisking of our credit group.
Marcelo de Noronha: [Interpreted] Nishio, thank you for your questions. I would just like to add to what Andre said. I still see SME as a line that will post a decrease in NPL. Everything is under control. But if I look at individuals, if I look at a further horizon going towards 2026, it depends on the mix that you have. I said that in the year, the market grew more than in vehicles. But in the quarter, we grew more than the market. But if you draw the mix, you may even have a higher NPL. But eventually, I'm not saying it's there. But if you change the mix, like the auto, and you grow more than payroll loan, for instance, right? So then in this case, you could strike a balance in 2026. But always, return will be adjusted to risk. It will be a risk-adjusted return. So I don't see any problems with delinquency or NPL, but I see some decline with the SME portfolio still this quarter.
Operator: [Interpreted] Next question comes from Tito Labarta from Goldman Sachs.
Daer Labarta: My question, you talked a little bit about our growth and you're growing in some segments where you feel more comfort, particularly more the secured lines and the other segments you're not growing, but you may increase your risk appetite going forward. Marcelo, if we go back after you became CEO, part of your strategic plan was to potentially increase market share in loans from the 14% to maybe 15% to 19%. Since then, your market share is still relatively stable. Just thinking -- how important do you think it will be to increase your market share in order to keep improving profitability? Or should the focus be more maybe focused on the segments that are more profitable where your overall market share maybe matters less? Just how should we think about your ability to gain market share from here and how important that will be for you to improve your profitability going forward?
Cassiano Scarpelli: [Interpreted] [ Marcelo ],  you start and then I'll follow.
Andre Carvalho: [Interpreted] When we announced that mission of increasing market share by 14% in that range of 15% to 19%, that was February last year. That involved a 5-year plan, right? And in these 5 years, we have to take into account the economic landscape. Back then, interest rates were down. And what came next was an increase in the Selic rate to 15%. And now we are seeing the deceleration of the Brazilian economy as a consequence of this monetary squeeze. So considering the economic landscape now is appropriate to keep your risk appetite under control. I mean the financial situation of companies and families will improve with time. So naturally, the risk appetite of banks and companies will get better. And then if that happens, we can look for better market share. At the time, we are very cautious. But as Marcelo was saying, our approach is very segmented. When we see that there is opportunity to gain market share, we will certainly go after it. I mean, high RER because what we want is to increase our share. So in all the lines that we see opportunities, we will certainly grow market share. I mean, short time is not the main goal. The main goal is to increase profitability consistently.
Marcelo de Noronha: [Interpreted] I  would just like to add something else, Tito. Thank you for your question. Looking ahead, our mission remains the one of gaining share in that interval that I showed you in the plan, right. But what do I see in a shorter period of time? We had good growth. If we didn't have -- as I said during my presentation, if we didn't have an issue in the large corporate portfolio, we would have come down over 10% year-on-year, but where do we have more traction?  I mean, payroll loan of individuals. It accounts for approximately 15% of our total portfolio, and we will gain share right there. Mortgage loan, you may have one or another bank that will get a little bit market share, but we will also gain share here in mortgage loans. I mean, on both sides. I mean corporate side, individuals, also keeping a significant amount of that because I think we have close to 20% of share. Now auto, we see opportunities there, too. Obviously, if you look at the whole picture, there are some different areas. And you have new vehicles. When you look at individuals, you have people with more appetite than we have to go after these clients. And the same thing goes for corporate. But looking at rural clients with some -- we do have good relationships and a good appetite to do the same thing with individuals and entities. On corporate side, there are different categories. These lines of FGI and FGO, we performed well so far this year. We still see that we have enough room to gain more share. I can even say that we are gaining share with SMEs as I was showing you during my presentation. So there is room for us to grow in SMEs this working capital on the business side as well, rural the same heavy and passenger vehicles, the same thing. So all of these lines are priority lines, and they are a good focus for us. The idea is that at the end of 2028, we will be in that interval that we presented when we introduced our transformation plan. But we're doing everything with the right choices, adequate risk appetite, portfolio management and growing in areas that can be traction and penetrated most of it through digital and the physical world. And we will just go forward because the idea is to gain more share with risk-adjusted return. Again, I insist on that point. I was saying that we were growing above market in the quarter, but always with risk-adjusted returns.
Operator: [Interpreted] We now conclude the Q&A session. The questions that could not be answered at this time, our IR team will then answer your questions after the presentation. And before I turn the floor over to Marcelo for his final remarks, I would like to say that this presentation is available in the entire material related to this earnings release presentation is available in our IR website.
Marcelo de Noronha: [Interpreted] First of all, I would like to thank you very much, Andre, Cassiano and all my colleagues that are always here with us in our studio. I would like to thank the entire team of Bradesco, all of our employees and the ones that are constantly engaged every day, looking at customer engagement, looking at everything that happens in the bank, including the insurance company, consortia, the consumer finance area of the bank. And most of all, I'd like to thank you, sell-side analysts. You are always interested in participating in this event. So we have an IR team very much engaged and ready to talk to you about the results and the outlook and the buy side guys as well, clients that are with us at this time as well. So again, thank you very much. And I reinstate the trust we have in everything we're doing. I do apologize again for that avatar because we were asking [ Ferbia ] to do something and then they put my avatar. But I promise that next time, I won't have that avatar again. But let's move on. We are certain that next quarter, we will certainly deliver great numbers. Thank you all, and have a very nice week. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]